Operator: Good morning, and welcome to the Howard Hughes Corporation's First Quarter 2023 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Eric Holcomb, Senior Vice President of Investor Relations. Please go ahead, sir. 
Eric Holcomb: Good morning, and welcome to the Howard Hughes Corporation's First Quarter 2023 Earnings Call. With me today are David O'Reilly, Chief Executive Officer; Jay Cross; President; Carlos Olea, Chief Financial Officer; and Dave Striph, Head of Operations. Before we begin, I would like to direct you to our website, howardhughes.com where you can download both our first quarter earnings press release and our supplemental package. The earnings release and supplemental package include reconciliations of non-GAAP financial measures that will be discussed today in relation to their most directly comparable GAAP financial measures. Certain statements made today that are not in the present tense or that discuss the company's expectations are forward-looking statements within the meaning of the federal securities laws. 
 Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved. Please see the forward-looking statement disclaimer in our first quarter earnings press release and the risk factors in our SEC filings for factors that could cause material differences between forward-looking statements and actual results. We are not under any duty to update forward-looking statements unless required by law. With that, I will now turn the call over to our CEO, David O'Reilly. 
David O'Reilly: Thank you, Eric. Good morning, everyone, and welcome to our First Quarter Earnings Call. On our call today, I'm going to start with a recap of the quarter and cover the segment highlights for our master planned communities and for the Seaport. Dave Striph will cover our operating assets, followed by Jay, who will update our development projects in Ward Village. Then finally, Carlos will review our financial results before Q&A. I'm pleased to report that our MPC and operating assets segments had a strong start to the year, with both reporting favorable financial results with year-over-year growth. Considering the numerous market headwinds in the latter part of 2022, our first quarter results further exemplify the resiliency of our unique portfolio of assets. Which continue to prove its ability to perform throughout various market cycles. 
 Compared to the prior year, MPC EBT increased 5%, aided by continued strength in our residential price per acre, strong builder price participation and a sizable 109-acre commercial land sale in Bridgeland. Our operating assets delivered NOI of $59 million, a 6% year-over-year increase when excluding the impact of asset dispositions. 
 At Ward Village, we contracted to sell 35 units and closed on the sale of 5 homes. And at the Seaport, the Tin Building is now open 7 days a week, which drew improved efficiencies and significantly reduced equity losses despite winter seasonality. During the quarter, we experienced a positive shift in home buyer sentiment with new home sales in our MPCs rising 120% compared to the 2022, 4th quarter. While this did not immediately translate into higher residential land sales, it did improve the homebuilder interest for new acreage, which points favorably to land sales going forward. 
 Looking at our MPC segment, we delivered $62 million of EBT, a $3 million year-over-year improvement. This performance was impacted by continued growth in residential price per acre, which rose 49% to $836,000. MPC land sales, which totaled $59 million, reflected a modest 3% reduction, primarily due to fewer residential acres sold. The rising value of our residential acreage also carried over into new home sales in our MPCs. As the value of the new homes rose, the implied land value has also increased. 
 When new homes are sold, we receive a participation payment from the builder based on the increase in the implied land value. In the first quarter, our builder price participation revenue remained strong at $14 million, a 3% year-over-year reduction despite a 9% decline in new home sales. In our Houston region, Bridgeland delivered another excellent quarter with more than 22 residential acres sold at an average price of $542,000 per acre. We also closed on a significant 109-acre commercial land sale, which generated nearly $28 million of revenue. 
 With continued strong builder price participation, Bridgeland reported over $31 million of EBT in the quarter. The Woodlands, we continue to sell custom lots at Aria Isle on Lake Woodlands, which generated $10 million of revenue at nearly $2.9 million per acre. In the Woodland Hills, we sold only 5 acres of land in the quarter, these lots were sold, however, at a record price of $431,000 per acre. Turning to Summerlin. We reported $28 million of EBT in the quarter. Much of these earnings were the results of strong builder price participation totaling $12 million. And at the Summit, we commenced selling the first custom lots in Phase II which includes another 54 acres of land for 28 custom home sites. We expect this new phase of development will have a meaningful impact on Summerlin's EBT as the year progresses. Finally, in our newest community of Teravalis in Phoenix West Valley, we continue to lay the groundwork for Floreo, mass grading and installing infrastructure needed to contract the first 1,000 residential lots. 
 We continue to expect diesel lots to be contracted in the second half of the year. Looking at new home sales. As we previously mentioned, we experienced a 120% increase compared to the fourth quarter selling a total of 552 homes. 
 The sequential improvement was attributable to Summerlin, which experienced a sharp 229% recovery and Bridgeland, which more than doubled the number of homes sold in the fourth quarter. These increases can be attributed to stabilizing mortgage rates as well as homebuilder incentives attracting new home buyers. Also contributing is the lack of available resale homes with many homeowners reluctant to sell their biggest asset. Their historically low mortgage rate. As evidenced, according to the National Association of Homebuilders, new construction in the U.S. currently makes up about 1/3 of the available home inventory. 
 This compares to the historical norms of a little bit more than 10%. With many homebuyers forced to turn to new construction, spec home inventories have quickly depleted and cancellations have significantly declined. In our MPCs alone, cancellations declined from 39% in the fourth quarter to 18% in the first quarter. When combined with a 28% year-over-year decline in new home starts in March, negotiations for purchases of new residential acres have increased. As a result, we anticipate improved residential land sales in the coming quarters as homebuilders will need to purchase new lots to meet the sustained demand. 
 Shifting over to the Seaport, we achieved 7-day per week operations at the 10 building throughout the first quarter, with strong traffic and sales despite the normal winter seasonality. Although we continue to experience increased employee expenses and elevated start-up costs, equity losses from this joint venture improved by $6.5 million sequentially for a total loss of $9.2 million. We remain confident that we are on the right path and anticipate considerable financial improvement in the coming quarters. Overall, for the Seaport, we reported 27% year-over-year revenue growth in the first quarter generating $12 million in sales. Excluding losses from the unconsolidated joint ventures of $9.6 million, which primarily relates to the $10 billion, Seaport NOI losses improved to $5.6 million. With that, I'll hand the call over to Dave Striph to review the performance of our operating assets. 
David Striph: Thank you, David. Good morning. In our Operating Assets segment, we started the year on a strong note, delivering $59 million of total NOI. Excluding the retail assets that we divested in 2022, total NOI increased 6% year-over-year with meaningful growth in our office, retail and multifamily portfolios. We also experienced continued favorable leasing momentum across the portfolio with sequential improvement in overall leasing percentages in each of our 3 core property types. 
 The most significant year-over-year improvement was seen in our office portfolio, which generated first quarter NOI of $28 million. This reflected a $2.6 million 10% year-over-year improvement and was primarily the result of strong lease-up activity, rent abatement expirations and increased tenant recoveries at several properties in the Woodlands. 
 These increases were partially offset by a 2022 tenant bankruptcy that resulted in lower occupancy at One Hughes Landing in the Woodlands, as well as some lease expirations at various assets in Downtown Columbia. During the quarter, we continued to outperform the market, executing new or expanded office leases totaling approximately 130,000 square feet, including 68,000 square feet in the Woodlands 34,000 square feet in Downtown Columbia and 27,000 square feet in Summerlin. This strong leasing performance clearly exemplifies the flight to quality and heightened demand we are seeing from companies seeking highly amenitized environments for their employees, a trend we do not expect to see subside anytime soon. 
 In retail, first quarter NOI was $15 million, reflecting a 20% increase compared to the prior year. This improvement was primarily related to a stronger tenant base and retail sales growth in Downtown Summerlin, which continued to perform exceptionally well and finished the quarter 99% leased. 
 We also experienced improved occupancy and increased tenant recoveries in the Woodlands and Ward Village. At quarter end, our stabilized retail portfolio was 96% leased, representing a 6% increase compared to the prior year and a 1% sequential improvement. Our multifamily portfolio also performed well in the quarter, delivering NOI of $13 million or a 13% year-over-year increase. This growth was primarily driven by insurance recoveries related to the 2021 freeze in the Houston region as well as increased rental revenue as a result of 7% in-place rent growth. 
 These improvements were partially offset by expected losses from our latest multifamily developments, Starling at Bridgeland and Marlow and Downtown Columbia, which are in the early stages of lease-up. Both properties have experienced strong initial demand with Starling at Bridgeland already 47% leased and Marlow 25% leased. Overall, our stabilized multifamily assets finished the quarter 95% leased with sequential gains in Summerlin and Downtown Columbia. Finally, our share of NOI from unconsolidated ventures declined 28% in the first quarter. This reduction was almost entirely the result of lower annual cash distributions from our investment in Summerlin Hospital, which totaled $3 million in the first quarter. I will now turn the call over to our President, Jay Cross. 
L. Cross: Thanks, Dave, and good morning, everyone. In the first quarter, we continued to make good progress on our projects under construction including Tanager Echo, a 294-unit multifamily complex in downtown Summerlin, which is expected to be completed next quarter. Wingspan, our first single-family for rent development located in Bridgeland, which is slated to welcome its first residents late in the year. South Lake Medical, an 86,000 square foot medical office building in Downtown Columbia, expected to be completed in 2024, and Summerlin South office 147,000 square foot, 3-story office complex, which started construction late in 2022. Together, these 4 projects are expected to generate meaningful stabilized NOI of more than $18 million with a yield on cost of approximately 7%. 
 Looking at the Seaport, we resumed remediation work at 250 Water Street during March following an interim appellate court order, which allowed for site work to continue, pending a full hearing during its June 2023 term. We will keep you apprised as more information becomes available. 
 At Ward Village, we are making great progress on the construction of Victoria Place, where we recently celebrated the topping off of the tower. Together with the Park Ward Village, which commenced construction late in 2023, and Ulana, which started construction during the first quarter, we now have 3 condo projects underway. Victoria Place is 100% presold, Park Ward Village 92% presold and Ulana 99% pre-sold. Condo presale sales were steady in the quarter with combined 35 units contracted at Kalae, Ulana and the Park Ward Village. As of quarter end, Kalae, which has not yet started construction, was already 80% presold after just 6 months of presales. 
 These 4 projects are expected to generate combined future revenue of nearly $2.5 billion between 2024 and 2026. During the quarter, we also closed on the sale of 4 units at 'A'ali'i and 1 year at Ko'ula, generating combined revenue of $6 million. At the end of the quarter, 'A'ali'i was 96% sold with 27 units remaining and Ko'ula was 98% sold with just 14 units remaining. 
 Finally, in the first quarter, we announced our plans to develop the Launiu, our 11th condo project in War Village, which will encompass 498 residences. This project is currently expected to commence presales late this year or early next year with completion in 2027. I would now like to hand the call over to our CFO, Carlos Olea, who will provide a high-level overview of our financial results. 
Carlos Olea: Thank you, Jay, and good morning, everyone. In the first quarter, our MPCs produced $62 million of EBT aided by strong residential price per acre, builder price participation and commercial land sales. Our operating assets delivered $59 million of NOI with year-over-year growth in office, retail and multifamily. Excluding dispositions, this represented a 6% year-over-year increase. At Ward Village, we closed on 5 condo units, which generated $6 million of counter revenue at 25% gross margins. At the Seaport, we reported $12 million of revenue, up 27% year-over-year. 
 As expected, the Tin Building continued to generate equity losses but they improved $6.5 million compared to the fourth quarter with the marketplace now open 7 days a week. We anticipate continued improvement in the spring and summer months ahead. Lastly, we reported cash G&A of $20 million. Given these positive results, we remain confident about our expectations for the full year and reiterate our 2023 full year guidance as outlined in the first quarter earnings release. 
 Shifting to the balance sheet. We ended the quarter with $418 million of cash, which leaves us well positioned to deploy capital into our development pipeline. At the end of the first quarter, the remaining equity contribution is to fund our current projects was $254 million before a pending $27 million anticipated construction financing for the Summerlin South office. 
 From a debt perspective, we had $4.8 billion outstanding at the end of the quarter with only $226 million of maturities through 2024 and approximately 87% due in 2026 or later. Additionally, 100% of our debt is either fixed, capped or swapped to a fixed rate, which significantly mitigates our interest rate risk. With respect to new debt, we closed on one new financing in the quarter, a $264 million construction loan for Ulana in Ward Village. With that, I would now like to turn the call back over to David for closing remarks. 
David O'Reilly: Thank you so much, Carlos. And before we open up the lines for Q&A, I want to announce the date of our next Investor Day. Which will be held in New York on Wednesday, September 6. More information will be coming in the coming weeks and months, but please mark your calendars to join us. Now just a few final thoughts. First, we started the year on solid footing, particularly within our MPC and operating assets segments. With this financial performance, our full year guidance remains intact. 
 Next, improved homebuilder sentiment and corresponding growth in new home sales are a significant positive for our MPC segment. With increasing demand for new homes, shrinking spec inventory and limited lot availability, we expect to see residential land sales ramp up as we go out throughout the year. And finally, we continue to advance our development pipeline, but we are doing this with a laser focus to ensure we allocate our capital appropriately to achieve the highest risk-adjusted returns. 
 All of this bodes well for the future of Howard Hughes, and we are excited for what lies ahead. Now with that, let's start the Q&A portion of the call. Operator, can you please open the line for our first question? 
Operator: [Operator Instructions] 
 At this time, we will take our first question, which will come from Anthony Paolone with JPMorgan. 
Anthony Paolone: My first question relates to the commercial land sale and Bridgeland, and you also did some, I think, in the fourth quarter as well. Can you talk to what's likely to happen at those sites, if those are going to be sort of any sort of corporate relocation or what that does just to the overall area? 
David O'Reilly: Tony, I love the question. Thank you. There were 2 sites that we've sold in Bridgeland recently. One is a site that we sold to an adjacent landowner that is developing a large-scale distribution industrial center. And I think that will help modestly in terms of job creation and those that would want to live close by within Bridgeland. The other side is to a user that is a corporate location that's going to bring meaningful jobs and meaningful activity and we think that, that is going to be a tremendous catalyst. I'd love to tell you more information beyond that, but I'm bound by confidentiality right now in terms of who that user is. But once we're able to talk about it, believe me, I'll be speaking it from the top. 
Anthony Paolone: Okay. Is this something that will start to get built on or start to move ahead fairly soon? Or is this something like years out? 
David O'Reilly: No. This was a near-term need and I expect that they will -- they've done their design work and they're getting through their final entitlement and approval process, and we're hopeful that they'll start construction this year. 
Anthony Paolone: Okay. And then second question on West Phoenix. It looked like you changed pricing on those lots pretty dramatically from 4Q, and I mean there's some changes to the acreage. Just wondering what's happening there. 
David O'Reilly: Yes, absolutely. So the residential price per acre that we previously reported, which was $302,000 for Foreo and $332,000 per Teravalis we're done basically with our original land model, which included non-saleable land, right of way for parks, open spaces. And as we finalize planning and land mapping and laying out streets and lots and parks and water retention. We're now revising our reported price per acre to account for the net land, which only includes the salable residential lots to be sold to builders in the calculation. Another factor in there, but it's modest relative to the other factors. Is just the amount of where we think we can sell these acres to builders. And I think that's gone up modestly even relative to last year despite the headwinds we saw in the fourth quarter. These new prices at $648,000 and $696,000 are representative of the net salable acres, not the gross acreage. 
Anthony Paolone: Okay. And so just adjusting for all that, just real simplistically, like was the change kind of no change up or down? 
David O'Reilly: I would say up a couple of percent the change in kind of our expectation of what homebuilders would pay is modestly, very modestly higher. The majority of that difference is driven by taking out the non-saleable acres. 
Anthony Paolone: Okay. Got it. And then just last one. In the office portfolio, you did a bit of leasing in the quarter. Just trying to think through the rest of the year. Does occupancy still trend up? Or do expirations or move-outs kind of offset? Or what happens to office occupancy the rest of this year? 
David O'Reilly: Well, look, you're going to test my crystal ball, Tony. Look, I think that I'm optimistic that we'll continue to see positive improvement. And specifically here in some of our trophy assets in the Woodlands at some of our better assets in Colombia and the new 1,700 property in Summerlin. And if everything else goes as expected, I feel very good that we'll see positive increases. With that said, it's very difficult to predict a bankruptcy or tenant default or something that would have a negative impact on that. 
 And that's part of what we saw despite the positive results it was kind of 2 steps forward 1 step back because last year, over the past several quarters, we had a decent-sized bankruptcy here in the Woodlands and other away from that bankruptcy, these results would have been much better. 
Operator: And our next question will come from Alexander Goldfarb with Piper Sandler. 
Alexander Goldfarb: Yes. One, good to hear that you guys are continuing progress on 250, hopefully, that goes the right way. It would certainly be a good addition of more housing, which the city definitely needs. So David, my question is on the homebuilders in general. Not a surprise that existing home sales are down given legacy embedded mortgages. But curious, given that mortgages are up. Are you seeing that the builders are like literally adjusting the product that they build to make the price point work? 
 Or is it more of that combination of buyers are just accepting reality of today? And two, the incentives that the builders are offering is such that they're basically still building and offering the same product but it's just that you have buyers accepting the higher mortgages; and two, there's enough of an incentive there from the builders that they really don't have to change what they're offering to the customer. 
David O'Reilly: Yes. I would tell you that I haven't seen a dramatic shift in the product that the builders are buying Alex. What we have seen is a buyer acceptance of higher rates. What we've seen is some of the premiums that existed in before mortgage rates increase like view premiums, lot premiums upgrades to the homes, those are shrinking without a doubt or going away altogether. The incentives that the homebuilders are offering are helping spur demand. And sometimes those are rate buydowns for 1, 3 or even the term of the mortgage, depending on the homebuilder and the situation. 
 And builders have, albeit reluctantly, in certain instances, even lower prices of the homes. I think all in all, it's incredibly positive, especially over the past 90 days as the resale inventory has dried up, new production homes are those that are the only game in town and, therefore, getting gobbled up. The spec inventory that built up in the fourth quarter due to the high cancellation rate fell so dramatically that buyer that's coming in that wants to close right away, gobbled up those specs. 
 And therefore, our homebuilders are down to a pretty meaningful decrease in their standing inventory. And that has brought them back like we saw in Bridgeland with some land sales, and I think we've seen a great interest in our superpads in Summerlin and I feel good that we'll hit our numbers, and we're leaving our guidance intact despite what has been a pretty challenging fourth quarter and a modest rebound here in the first quarter. 
Alexander Goldfarb: Okay. The second question is on the Oakland A's. Obviously, you guys do a great job with the aviators but saw recently that the Oaklands A's have, in fact, bought land. I'm sure this is probably well known within the market. What does this mean to you guys and the aviators. I know years ago, there was a view that if a Major League Baseball comes in, they'd have to buy out the minor leagues. But my understanding is that contract has since changed. What do you think the net impact to the aviators and the profitability of Downtown Summerlin if the As are coming to town? 
David O'Reilly: From our perspective, Alex, we think it's usually beneficial not just for the aviators. For the Las Vegas Valley for Southern Nevada, and for Summerlin, the Oakland Athletics moving their entire organization to Las Vegas is nothing short of an incredible positive for the entire Valley. We have an agreement in place with the athletics where we've agreed to let both teams operate side-by-side in Southern Nevada. And this is going to be pretty similar to the way the Vegas Golden Knights work with their Minor League team, the Henderson Silver knights. It's really set up to be beneficial to both organizations where you have a family-friendly, lower-priced option to see tomorrow's MLB players today in our ballpark. 
 And we'll see, I think, a greater tourism population at a much higher price point to go see the A's down by the strip. Like there's a lot of minor league teams in baseball that have this in place and whether it's the Minnesota trends and the St. Pauls sank, the Astros and the Sugar Land Space Cowboys or there's Seattle Mariners and the Tacoma Rainiers, where the AAA team being right down the street has not only proven to be beneficial for the Major League team because they get access to their players very quickly. But for the Minor League team because it increases the interest in that team and actually drives more ticket purchases. 
Alexander Goldfarb: Okay. And just final question. Down to Seaport feels a little like your revert in the restaurant business. Labor seems to be a perennial issue and it doesn't seem to be getting better. As you guys look at your business plan with Jean-Georges and your F&B offering down there, what you guys originally modeled versus what you're experiencing now? Is it still lining up or is labor more of an issue or maybe it's something else, but it seems to be labor is always the talked about issue? Or is that more of an issue that could push out the profitability time line that you guys versus what you originally penciled? 
David O'Reilly: Yes. So I'm going to break that question down into 2 components: one, between the more stabilized restaurant operations on the peer and then the [Tin building]. And for the stabilized restaurants on the peer like the Fulton, the gross sales and net profitability of those restaurants are performing incredibly well. And if you did kind of what's the implied rent that we earned from the Fulton I think it's better than any retail lease that we would sign today. In fact, I know it was because I'd sign those leases, if I could. And yes, labor is impacting margins, and it's coming in a point or 2 as a result of higher labor costs. 
 But we're still very profitable and those restaurants are driving not only good cash flow to Howard use, but great traffic to the peer and a great activation for Lower Manhattan. Now the Tin Building on the other hand, we're still in the ramp-up period. We're still finalizing menus, get them recipes correct. Overstaffing a bit to make sure that customer experience is incredible as we ramp up our customer base and build that customer loyalty that wants to come back over and over again. 
 Over the coming months and coming quarters, we'll start to dial back that labor and get it to a more rationalized level that will drive hopefully a better cash flow result for the Tin Building throughout the remainder of this year. And labor is challenging, you're accurate as you highlight that, Alex. But we're talking about a point or 2 on margin. And I would tell you that the pendulum from 6 months ago feels like it swung back a little bit in the kind of employers side of the ledger versus the employees. 
Operator: Our next question will come from John Kim with BMO Capital Markets. 
John Kim: Just on MPC sales, David, you talked about homebuilders looking to build back inventory. I was wondering when you think that would be as far as when that translates into higher sales? And any commentary on price per acre going forward? 
David O'Reilly: Yes. So look, what we've always said is that home sales within our MPCs are the best leading indicator for future home buying. And as you saw kind of on a quarter-over-quarter basis, we had meaningful increases in our master planned communities from a home sale perspective. And we think that, that bodes well for future land sales. Do I think that the price breaker is going to continue to go up dramatically. I think that's a tough assumption to make. I think that we'll see, like we saw this past quarter, strong price per acres. 
 Do we see -- envision double-digit growth. No, because mortgage rates are higher affordability is compressed, and we need to make sure we maintain velocity in building out these communities. So pricing one lot at the absolute maximum price does more harm than good if we can price a meaningful number of lots, a meaningful number of acres with a meaningful number of new residents at an appropriate price per acre like we saw this past quarter. So we're really optimistic. We think home sales as this leading indicator will drive strong land sales for the remainder of the year. And hopefully, those price per acres will continue to stay at this level or increase modestly. 
 Now I will also highlight, John, and for all of our listeners that the average price per acre in our community that we reported this quarter, is impacted by a couple of custom lot sales that we had on Aria Isle in the Woodlands for $2.8 million per acre. And that takes the average of the overall for the company up higher. If you exclude those custom lot sales, the residential price per acre was up 14%, which is a bit less than kind of the headline number, if you will. And even that percentage is very strong. I don't imagine seeing that continue in 2, 3 and 4Q. 
John Kim: Okay. That's helpful. Just switching off to Ward Village. Condo sales trended up to 79.6% this quarter. But compared to the fourth quarter last quarter at 73%. Can you just provide any commentary on what seems like deceleration on sales there? Is that because the luxury end is getting softer? Or are you pushing prices higher? 
David O'Reilly: Look, I would love to be 100% sold out, but we haven't even started construction yet. I think going from the low to mid-70s to almost 80% over a quarter when we're into tempo sales on a building we're not delivering for 24 to 30 months is exceptional. John, we also have the great news that we only have a handful of units left. And as your inventory dwindles, it becomes harder and harder to sell that, there's very de less units to sell. 
 So I think that if we clip away at 6% quarter-over-quarter between now and when we complete the building, we'll be out of units long before we finish. So we're excited by that. Look, not every quarter, you're going to sell 60% of the building. We do that on a launch. And then after that launches over the subsequent quarters, we just chip away a little by little so that we try to get to a spot where we're almost entirely sold out by the time we complete. 
John Kim: And can you remind us, do you typically sell the highest price point units towards the end of the cycle? Or is it kind of in between. 
David O'Reilly: You know I would tell you that our percentage of units sold and a percentage of revenue are tracking very, very closely on all of these towers. And I would tell you that -- and as part of what we had our Investor Day down in Hawaii, you met the sales team with Doug and who runs the region and Bonnie, who runs our sales operations nationally, they highlighted how they like to get a full diversity of units at launch, different stacks, different heights across the building because it establishes prices for all pieces of the building. 
 And from there, we can start to drive prices higher where we see the greatest demand. So I would say the percentage of units, a percentage of revenue tend to track within a couple of points up or down, higher or lower per quarter, but it's usually very tight. 
John Kim: Okay. Final question is on operating assets. Can you provide any commentary on the improvement in same-store growth, particularly in office and multifamily, where the occupancy went down year-over-year. So I was just wondering if you could add any commentary on that. 
David O'Reilly: The leases we signed were at higher rates. We managed our operating expenses well, and we drove more cash flow to the bottom line. And it's something that we take a ton of pride in what we do. We may operate across Three different segments, 3 different asset classes, but we'd like to think that we do them all really, really well. 
 And I think this quarter is a great representation to that, and it's a huge amount of kudos and thanks to our entire operating team that I know comes into work every day in grinds like heck to cut our operating expenses, deliver great tenant experiences and it's a complement to our leasing team that is driving higher leasing rates every day at these assets that have been in the most desirable communities across this country, and that's showing in our results. 
John Kim: Was there anything onetime in terms of expenses or revenue that drove that same-store number higher? 
David O'Reilly: We had some modest real estate tax refunds this quarter. It's not -- there wasn't a major termination fee buried in there that's going to drive everything. We had I think we'll see slightly higher insurance costs throughout the remainder of the year that will continue to impact. And look, you never know, sometimes a year ago, we had a deep freeze, which impacted the operating expenses. We didn't experience it again this year. I think that there's a number of small things. But overall, it's just about managing assets and managing them really well. 
Operator: Our next question will come from Hamed Khorsand with BWS Financial. 
Hamed Khorsand: So first question was, you moved a few more office properties into stabilized NOI. So I'm just trying to understand if going forward, what does the operating efficiency look like from the company? I mean it was only about 8% operating margin. If you're looking at a stabilized operating structure. So I'm just trying to understand how do you find efficiencies in your operating expenses when more and more properties are reaching a stabilized rate? 
David O'Reilly: I think the more and more properties that we introduced into a market, the better we can drive efficiencies. And the best example that I can give you is when we talk about our multifamily asset. As we build more and more assets in the Woodlands and Colombia and Summerlin, that are immediately adjacent to each other, we have the ability to use the same staff cover multiple properties. We have the ability to extend our property management organization over a greater square -- amount of square footage. And I think by having a concentration of assets in tight submarkets really drives better operating results in terms of our efficiency. 
Hamed Khorsand: Correct. But I mean it just didn't seem like it was showing up in this quarter. Does it start to show up in Q2. 
David O'Reilly: I think over time, as buildings leased up, it will. I mean look, we have new -- as new buildings deliver new multifamily buildings deliver, they're going to be low occupied for a period of time. And then as they hit the maturity, that occupancy will increase to stabilize rate, which we'll see the real efficiency and the NOI margin fall to the bottom line. But during that lease-up period, it's a negative headwind that will behoove us to the long-term benefit as those properties stabilize. The same is true for retail and office as well. 
Hamed Khorsand: And during Q1, I mean New York didn't have much of a winter. So did the weather help you? And does that roll into Q2 as to any traffic momentum for you? 
David O'Reilly: An easy winter is better than a hard winter, but spring/summer and fall is definitely better than even an easy winter. So there's definitely headwinds throughout the winter regardless of whether it's good or bad. I think we did a little bit better than we would have if it were a more difficult winter. And I think that helped attract more folks out to come experience a 10-building come experience the Seaport and Pier17. And we're hopeful that, that traffic that we saw continues throughout the remainder of the year and continues to grow. As more and more people find out just how amazing the lower is south of Manhattan and the Seaport District is. 
Hamed Khorsand: Last question. Is there any change here in your strategy given where interest rates are? I mean your interest expense is up 50% year-over-year. So I'm just trying to understand how you're going to manage the business given this kind of environment. 
David O'Reilly: Look, higher interest rates increase our cost of capital and increase the required returns that we need on new developments and new investments. They set the bar higher. Part of the increase in our interest expense year-over-year is not just higher rates but also an increasing size of our company as we've added more and more assets to the top line and have financed them conservatively with debt on the bottom line. So yes, we continue to hedge cap and swap as much as we can and limit our exposure. 
Operator: Pardon me, ladies and gentlemen, it appears we have lost connection to our speaker line. [Operator Instructions] Thank you very much for your patience. on this is the operator again. We will actually conclude the question-and-answer session here, and we will also conclude today's call. We want to thank everyone for attending today's presentation, and we will see them all next quarter. Thank you very much for your participation. You may now disconnect your lines.